Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2018 Hess Corporation Conference Call. My name is Sonia, and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Jay Wilson, Vice President of Investor Relations. Please proceed.
Jay R. Wilson - Hess Corp.: Thank you, Sonia. Good morning, everyone, and thank you for participating in our first quarter earnings conference call. Our earnings release was issued this morning and appears on our website, www.hess.com. Today's conference call contains projections and other forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. These risks include those set forth in the Risk Factors section of Hess's annual and quarterly reports filed with the SEC. Also, on today's conference call, we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the supplemental information that will be provided on our website. Now, as usual, with me today are John Hess, Chief Executive Officer; Greg Hill, Chief Operating Officer; and John Rielly, Chief Financial Officer. I'll now turn the call over to John Hess.
John B. Hess - Hess Corp.: Thank you, Jay. Welcome to our first quarter conference call. I will review our strategy and key highlights from the quarter. Greg Hill will then discuss our operating performance, and John Rielly will review our financial results. Our company delivered strong performance this quarter and continues to make significant progress in our strategy. First, to grow our resource base in a capital-disciplined manner. Second, to move down the cost curve so that we are resilient in a low oil price environment. And third, to be cash-generative at a $50 per barrel Brent oil price post 2020. Our strategy reflects our view that shale alone will not be enough to meet the world's oil demand growth and offset base production declines. For the past several years, the industry has significantly underinvested in longer cycle projects, which currently represent approximately 90% to 95% of global oil supply. We have focused our portfolio on four key areas, offshore Guyana and the Bakken as our growth engines with Malaysia and the Deepwater Gulf of Mexico as our cash engines. By investing in our highest return assets, divesting higher-cost mature assets, and implementing a $150 million annual cost reduction program, we expect to lower our cash unit production costs by 30% between 2017 and 2020, while reducing unit DD&A rates by 35% over the same period. On a pro forma basis, production from our high-graded portfolio is expected to grow at a compound annual growth rate of approximately 10% between 2017 and 2023, assuming a flat $50 per barrel Brent oil price, operating cash flow is expected to grow at a compound annual rate of approximately 20% over the same period. In 2017, our asset monetizations resulted in proceeds of $3.4 billion. Proceeds are being used to prefund our world-class investment opportunity in Guyana, increased from four rigs to six rigs in the Bakken, returned $1.5 billion to shareholders by the end of 2018 through share repurchases, and reduced debt by $500 million. Key to our strategy is our position in Guyana, which represents one of the most attractive oil investment opportunities in the world today. The 6.6 million acres Stabroek block in Guyana where Hess has a 30% interest and ExxonMobil is the operator is uniquely advantaged by its scale, reservoir quality, cost, rapid cash paybacks, and superior financial returns. In February, we continued our exploration success in Guyana with a seventh oil discovery at the Pacora-1 well. This discovery followed positive results from the Ranger-1 well in January, which demonstrated that the petroleum system is working in a new geologic play more than 60 miles Northwest of the Liza development and reaffirmed the extraordinary exploration potential of the block. Excluding Ranger and Pacora, estimated gross discovered recoverable resources on the block were increased to more than 3.2 billion barrels of oil equivalent. And we continue to see multi-billion barrels of additional exploration potential on the block. The Liza Phase 1 development, which was sanctioned last June, is progressing well with first production of gross 120,000 barrels of oil per day expected by 2020 less than five years after discovery. Phase 2 with gross production of 220,000 barrels of oil per day is slated for start-up by mid-2022. The giant Payara field is planned as the third development with start-up expected in late 2023 or early 2024, bringing expected gross production from the first three phases of development to more than 500,000 barrels of oil per day. Turning to the Bakken, our largest operated asset where we have more than 500,000 net acres in the core of the play. We plan to add a fifth rig in the third quarter and a sixth rig in the fourth quarter of this year. This increased activity is expected to generate capital efficient production growth from a 105,000 barrels of oil equivalent per day in 2017 up to 175,000 barrels of oil equivalent per day by 2021 along with a meaningful increase in free cash flow generation over this period. Turning to our financial results. In the first quarter of 2018, we posted a net loss of $106 million, or $0.38 per share, down from a net loss of $324 million, or $1.07 per share in the year-ago quarter. Compared to 2017, our first quarter financial results primarily reflect higher realized crude oil selling prices and lower operating costs and DD&A. First quarter production was above the high-end of our guidance range of 220,000 to 225,000 barrels of oil equivalent per day averaging 233,000 barrels of oil equivalent per day, excluding Libya. Bakken production averaged 111,000 barrels of oil equivalent per day above our guidance of approximately 105,000 barrels of oil equivalent per day. In summary, our focus for 2018 is on execution. And we believe we are off to a very strong start to the year. In the first quarter, we increased cash returns to shareholders, reduced debt, exceeded our production guidance, continued to lower our costs and announced two significant oil discoveries offshore Guyana, Ranger and Pacora. Longer-term, our reshaped portfolio is positioned to deliver a decade-plus of capital-efficient growth, with increasing cash generation and returns to shareholders. With that, I will now turn the call over to Greg for an operational update.
Gregory P. Hill - Hess Corp.: Thanks, John. I'd like to provide an update of our progress in 2018 as we continue to execute our E&P strategy. Starting with production; in the first quarter production averaged 233,000 net barrels of oil equivalent per day, excluding Libya, above our guidance range of 220,000 net barrels of oil equivalent per day to 225,000 net barrels of oil equivalent per day, primarily reflecting strong performance in the Bakken. In the second quarter, we expect production to average between 235,000 net barrels of oil equivalent per day and 245,000 net barrels of oil equivalent per day, excluding Libya. We maintain our full-year 2018 production guidance of 245,000 net barrels of oil equivalent per day to 255,000 net barrels of oil equivalent per day. Production is expected to grow steadily throughout the year increasing to between 265,000 net barrels of oil equivalent per day and 275,000 net barrels of oil equivalent per day in the fourth quarter, which represents a growth rate of over 15% between the first quarter and fourth quarter of 2018. In the Bakken, we delivered a strong quarter that continued to build upon the successes of last year. First quarter production averaged 111,000 net barrels of oil equivalent per day, an increase of more than 12% from the year-ago quarter. Our 60-stage, 8.4 million pound proppant completions continue to show a 15% to 20% uplift in both IP180s and EUR over our previous 50-stage's 3.5 million pounds standard. Because we were reaching the practical limits of the sliding sleeve system in terms of stage count. Last year, we began piloting limited entry plug-and-perf completions and initial results are encouraging. This new limited entry technique allows us to more than double the number of distinct entry points in a 10,000-foot lateral, while maintaining good fracture geometry control and should result in a further increase in initial production rates, estimated ultimately recovery, and most importantly net present value. Well, we only have a small number of wells that have been on production for 90 days or more. We are increasing the number of plug-and-perf completions and plan to complete approximately 40 and bring online 25 of these wells in 2018. We will keep you apprised of results as we go throughout the year. We're also conducting a comprehensive study of the Bakken to determine optimum development methodology for each area of the basin. As previously announced, we plan to add a fifth rig during the third quarter and a sixth rig during the fourth quarter. We also plan to add a third frac crew by the end of the year. In the first quarter, we drilled 23 wells and brought 13 wells online. For the full year 2018, we expect to drill approximately 120 wells and bring 95 wells online. In the second quarter, we forecast that our Bakken production will average approximately 115,000 net barrels of oil equivalent per day and for the full-year 2018, we forecast production to average between 115,000 net barrels of oil equivalent per day and 120,000 net barrels of oil equivalent per day. Longer-term, we continue to forecast steady Bakken production growth to approximately 175,000 net barrels of oil equivalent per day by 2021, assuming six rig. Moving to the offshore. In the Deepwater Gulf of Mexico, production averaged 41,000 net barrels of oil equivalent per day in the quarter, reflecting the previously announced downtime at the Shell-operated Enchilada Platform following the fire there in early November 2017. During the first quarter, production was restored at our Baldpate and Penn State fields as well as at the Shell-operated Llano field. Approximately 15,000 net barrels of oil equivalent per day of production remain shut-in at our Conger field, but we expect Conger to resume production by the end of the third quarter. At our Stampede field where Hess is operator and has a 25% interest, we achieve first oil from the field in January. We will continue to ramp-up production gradually throughout 2018 and expect to achieve peak rates during 2019. Drilling will continue throughout this period. For the second quarter, we forecast Gulf of Mexico production to average between 45,000 net barrels of oil equivalent per day and 50,000 net barrels of oil equivalent per day and maintain our 2018 full-year production forecast of approximately 50,000 net barrels of oil equivalent per day. By the fourth quarter with all Enchilada-impacted fields back online and the continued ramp-up at Stampede, we forecast Gulf of Mexico production to average approximately 65,000 net barrels of oil equivalent per day. Moving to the Gulf of Thailand, at the joint development area, in which Hess has a 50% interest, production averaged 34,000 net barrels of oil equivalent per day in the first quarter. Production is forecast to average approximately 36,000 net barrels of oil equivalent per day in 2018. At the North Malay Basin, also in the Gulf of Thailand, production averaged 22,000 net barrels of oil equivalent per day in the first quarter and is forecast to average approximately 26,000 net barrels of oil equivalent per day in 2018. Now, turning to Guyana. At the Stabroek block, in which Hess holds a 30% interest, we announced a seventh oil discovery at Pacora located approximately 4 miles west of Payara. The well encountered approximately 65-feet of high-quality oil barring sandstone reservoir. Following well operations on Pacora, ExxonMobil spud the Liza-5 appraisal well on March 8, the well has been logged and cored and the operator is currently performing a drill stem test, results from the Pacora-1 and Liza-5 wells will be incorporated to appropriately size the FPSO for the third phase of development, which will be between 175,000 barrels of oil per day and 220,000 barrels of oil per day. Following completion of the well test on Liza-5, the Stena Carron will drill the longtail 1 (15:45) prospect located approximately four miles Northwest of the Turbot-1 discovery. A second drilling rig the Noble Bob Douglas, spud an exploration well on the Sorubim prospect on April 3, which is located approximately 37 miles Southwest of the Ranger discovery. Well operations are still underway. Following Sorubim, the Bob Douglas will begin drilling the first of 17 planned development wells associated with Liza Phase-1. The Liza Phase-1 development sanctioned in June 2017 remains on track for first oil by 2020 with a nameplate capacity of 120,000 barrels of oil per day. Liza Phase-2 is on track for sanction by year-end with a nameplate capacity of 220,000 barrels of oil per day and first oil expected by mid-2020. The Liza Phase-3 development is in feed and first oil is expected in late-2023 or early-2024. In Canada, offshore Nova Scotia, The Aspy well was spud on April 22. BP is operator and has each hold a 50% working interest in exploration licenses that cover approximately 3.5 million acres equivalent to some 600 Deepwater Gulf of Mexico blocks. The well is targeting a large subsalt structure, analogues to those found in the Gulf of Mexico. In closing, our team once again demonstrated excellent execution and delivery across our asset base. The Bakken is on a strong capital-efficient growth trajectory and Guyana continues to get bigger and better. I will now turn the call over to John Rielly.
John P. Rielly - Hess Corp.: Thanks, Greg. In my remarks today, I will compare results from the first quarter of 2018 to the fourth quarter of 2017. We incurred a net loss of $106 million in the first quarter of 2018 compared with a net loss of $2.677 billion in the fourth quarter of 2017. Our adjusted net loss, which excludes items affecting comparability of earnings between periods was $72 million in the first quarter of 2018, compared to a net loss of $304 million in the previous quarter. Turning to exploration and production. On an adjusted basis, E&P had net income of $12 million in the first quarter of 2018, compared with a net loss of $219 million in the fourth quarter of 2017. The changes in the after-tax components of adjusted E&P results between the first quarter of 2018 and the fourth quarter of 2017 were as follows. Higher realized selling prices improved results by $54 million, lower sales volumes reduced results by $133 million. Lower DD&A expense improved results by $207 million, lower cash cost improved results by $40 million. Lower exploration expense improved results by $32 million. All other items improved results by $31 million for an overall improvement in first quarter results of $231 million. Turning to Midstream, the Midstream segment had net income of $28 million in the first quarter of 2018, compared to net income of $20 million in the fourth quarter of 2017. Midstream EBITDA before the non-controlling interest and excluding specials amounted to $123 million in the first quarter, compared to $113 million in the previous quarter. Turning to corporate and interest. After-tax corporate and interest expenses were $109 million in the first quarter of 2018, compared to $105 million in the fourth quarter of 2017. After-tax adjusted corporate and interest expenses were $112 million in the first quarter of 2018. Capitalized interest in the first quarter was lower than the prior quarter by $21 million due to first production at the Stampede field in January. Turning to our financial position. We increased our share buyback during the quarter to $1.5 billion from $500 million, representing nearly 10% of shares outstanding. This combined with our previously announced plan to retire $500 million in debt allows us to maintain a strong balance sheet, while providing current returns to shareholders. Excluding Midstream, cash and cash equivalents were $3.4 billion. Total liquidity was $7.7 billion, including available committed credit facilities; and debt was $5.587 billion. In the first quarter, we purchased approximately 8 million shares of common stock for $380 million, which completed the initial $500 million program. In April, we entered into a $500 million accelerated share repurchase agreement that is expected to be completed by the end of the second quarter. During the first quarter, we paid $415 million to retire debt including the redemption of $350 million principal amount of 8.125% notes due in 2019 and to purchase other notes. We remain on target to complete our $1.5 billion stock repurchase program and our $500 million debt reduction initiative in 2018. Now turning to second quarter guidance; in the first quarter, our E&P cash costs were $13.46 per barrel of oil equivalent, which beat guidance on strong production performance and a deferral of Tubular Bells workover to the second quarter. As a result of the workover deferral, cash costs for the second quarter of 2018 are projected to be $14.50 to $15.50 per barrel of oil equivalent, with full-year guidance of $13 per barrel to $14 per barrel of oil equivalent remaining unchanged. DD&A expense in the second quarter is forecast to be in the range of $17.50 to $18.50 per barrel of oil equivalent with the full-year guidance remaining unchanged at $18 to $19 per barrel of oil equivalent. This results in projected total E&P unit operating costs of $32 to $34 per barrel of oil equivalent in the second quarter, with the full-year guidance remaining unchanged at $31 to $33 per barrel of oil equivalent. Exploration expenses, excluding dry hole costs, are expected to be in the range of $60 million to $70 million in the second quarter, with full-year guidance remaining unchanged at $190 million to $210 million. The Midstream tariff is projected to be approximately $165 million for the second quarter and $625 million to $650 million for the full year of 2018, which is unchanged from prior guidance. The E&P effective tax rate, excluding Libya, is expected to be a benefit in the range of 0% to 4% for the second quarter, with the full-year guidance of a benefit in the range of 0% to 4% remaining unchanged. With respect to our 2018 crude oil hedges, we are now able to realize the benefit of WTI prices above $65, which we accomplished by buying back the $65 WTI call options within our crude oil collars. We continue to keep the $50 WTI put options on 115,000 barrels per day of production for the remainder of the year. We expect amortization of premiums on our crude oil hedges, which will be reflected in our realized selling prices, will reduce our results by approximately $45 million per quarter for the remainder of 2018. We anticipate net income attributable to Hess from the Midstream segment to be approximately $30 million in the second quarter, with the full-year guidance of $105 million to $115 million remaining unchanged. Turning to corporate and interest. For the second quarter of 2018, corporate expenses are estimated to be in the range of $25 million to $30 million and interest expenses are estimated to be in the range of $85 million to $90 million. Full-year guidance remains unchanged at $105 million to $115 million for corporate expenses and $345 million to $355 million for interest expenses. This concludes my remarks. We'll be happy to answer any questions. I will now turn the call over to the operator.
Operator: Your first question comes from the line of Doug Leggate of Bank of America Merrill Lynch. Your line is now open.
Doug Leggate - Bank of America Merrill Lynch: Thank you. Good morning, everybody.
John B. Hess - Hess Corp.: Morning.
Doug Leggate - Bank of America Merrill Lynch: Guys or maybe Mr. Hess, I wonder if you could opine on the latest thoughts on your disposal plans, and what I have specifically in mind is, obviously oil prices are a little healthier? Now Denmark appears, I believe that process is underway. So, if you could give an update, any expectations on the timing. If I could ask you to also address Libya and the Utica and was in the back of my mind is, obviously, Marathon say with Libya, and any other issues you think may contribute to non-core assets sales this year? I've got a follow-up question.
John B. Hess - Hess Corp.: Yeah, Doug, you know the sale process for our Denmark assets is ongoing. So I can't say more than that right now. And while we obviously can't comment specifically on the Total-Marathon transaction, in the normal course of business, we're always looking to high-grade and optimize our portfolio. So that's what we'd like to say on Libya, and for that matter on the Utica.
Doug Leggate - Bank of America Merrill Lynch: If I may, the one that's missing then I guess is, you'd talked previously about potentially dropping down some additional Midstream assets to the joint venture with specifically Bakken water handling, is that still the plan for 2018?
John P. Rielly - Hess Corp.: Yes, that's still the plan, Doug, that we do plan to have that done in 2018.
Doug Leggate - Bank of America Merrill Lynch: Can you give an order of magnitude as to what the EBITDA associated with that is, John?
John P. Rielly - Hess Corp.: No, not at this point. So, we are still putting together the assets that will be dropped and will be working with our partner GIP. And I'll have to give guidance on that a little bit later in the year, Doug.
Doug Leggate - Bank of America Merrill Lynch: Okay. My follow-up if I may is probably for Greg, on his exploration in Guyana. Greg, couple of weeks ago Exxon suggested that Sorubim would be completed last weekend or thereabouts. I realize you're not the operator, but can you offer any color around what you might be seeing there in terms of the fact that it is taken over – it seems to be taking a little bit longer and what's on my mind there is Exxon had suggested that in a success case, there was a possibility of bringing our third rig into the basin. So, I'm just curious, if that's consistent with your thoughts and any color you can offer (27:57)? Thank you.
Gregory P. Hill - Hess Corp.: Yeah, Doug, thanks. I think the only thing we can say about Sorubim, right now is that well operations are still underway. And as I said in my opening remarks, following Sorubim that Bob Douglass is going to move and start drilling those development wells for Phase 1. And then again, just to remind, everyone, we also have operations going on in Liza-5. Liza-5 has been logged, cored and is currently undergoing a drill stem test, so that's sort of where we are on the block in terms of exploration and appraisal right now.
Doug Leggate - Bank of America Merrill Lynch: Do you have a connectivity result on Liza-5 yet, Greg?
Gregory P. Hill - Hess Corp.: No, we don't yet, Doug, it's early in the test sequence.
Doug Leggate - Bank of America Merrill Lynch: All right. Thanks guys, I'll leave it there.
Operator: Thank you. Our next question comes from Bob Morris of Citi. Your line is now open.
Robert Scott Morris - Citigroup Global Markets, Inc.: Thank you. Nice progress in the quarter, gentlemen.
Gregory P. Hill - Hess Corp.: Thank you.
Robert Scott Morris - Citigroup Global Markets, Inc.: Greg, on the Bakken, it seems that you're a bit more encouraged by what limited results you've had on the 200-stage plug-and-perf style completions here going forward. And remind me, I think those costs maybe up to $500,000 per well more. And so, you did just raise the EURs based on the 60-stage sliding sleeve, but what sort of uplift are you thinking about or anticipating to sort of make this the go-forward design in moving to 200 stage plug-and-perf completions.
Gregory P. Hill - Hess Corp.: Yeah, thanks. Thanks for the question, Bob. In terms of the cost first, we're early in this process and costs are running between $6.5 million and $7 million for those 200-stage, 8.5 million pound proppant wells. But, we believe that's going to come down as we apply lean manufacturing just like we did with sliding sleeves. As we apply lean manufacturing to that process, we know that we'll be able to bring those costs down. As I said in my opening remarks, we really don't have any wells that we have plug-and-perf. We have seven online right now, but we don't have any that are past their IP90 dates. So, it's a little bit premature. The results are encouraging, but it's premature because we just don't have a statistical enough sample yet to be definitive about what the uplift is. It's positive, but I don't want to get specific beyond that. Now, our plans are because of the encouraging results, we are going to complete 40 plug-and-perfs this year and we'll have 25 wells online by year-end. And as I also said in my opening remarks that data was going to be critical for the study that we're conducting on the Bakken, which is really designed to, on a go-forward basis, determine what now is the optimum methodology to use for each area of the field as we think about further development of the Bakken.
Robert Scott Morris - Citigroup Global Markets, Inc.: Great. And my second question relates to that longer-term development plan we've had. Several companies talk about what they refer to as parent-child love relationships in other basins whereas some operators have said that in the Bakken, you actually see better performance from the infill wells versus the parallel, because parallel was drilled so long ago with older technology. Are you able to discern any relationship in that regard or is that just sort of being masked or overshadowed by the continued improvement in the type of completions you're applying here in trying to assess whether there is some degradation at some point on infill wells, or is it just too hard to tell with continuing to do better or higher intensity completions?
Gregory P. Hill - Hess Corp.: Yeah. I think in the Bakken the performance just continues to get bigger and better with the improvements we're making in completion design. I will say for us because we drill half of the DSU at a time, we actually have no parent-child relationship because what we'll do is we'll go and we'll drill half of the 1280 acres and then maybe 12 months to 18 months later, we'll come back and drill the other half of the 1280 acres. So that really minimizes any interference at all. So, there's no impact to us.
Robert Scott Morris - Citigroup Global Markets, Inc.: Okay great. Thank you.
Operator: Thank you. Our next question comes from Ryan Todd of Deutsche Bank. Your line is now open.
Ryan Todd - Deutsche Bank Securities, Inc.: Great, thanks. Maybe the first question on CapEx. It was relatively light in the quarter, how much of that was timing related? Fewer well completions in the Bakken in the quarter are you seeing any continued efficiencies that could drive lower than expected CapEx for the year?
John B. Hess - Hess Corp.: Right now, it's really timing. I mean we were early in the year that always happens with our CapEx program. And as you know, as Greg mentioned, so as we move through the year we're bringing in a fifth rig into the Bakken in the third quarter and then the sixth six rig in the fourth quarter. And then also now, as Greg mentioned, we are going to have two rigs running in Guyana. So, there is as we move through the year was kind of more back-ended on the CapEx. So, again, everything is going with the execution and the CapEx plan is going really well. But at this point, I would still tell you 2.1 (33:23) for the year.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks. And then maybe you touched – obviously we touched already on asset disposals. There have been and are a number of packages and probably may continue to be packages being shopped in the Bakken. Would you guys have any interest in acquiring additional resource in the Bakken, or would you consider most of the deals as being dilutive relative to your current asset quality, or what would you need to see to be interested in picking up additional resource there?
John B. Hess - Hess Corp.: Look we're always looking to optimize our portfolio. Having said that anything that we could potentially acquire would have to compete with a high return projects we already have secured in our portfolio between the Bakken and Guyana. And thus far we haven't seen any package in the market that would compete favorably in terms of what we have already under our feet.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from Brian Singer of Goldman Sachs. Your line is now open.
Brian Singer - Goldman Sachs & Co. LLC: Thank you. Good morning.
John B. Hess - Hess Corp.: Good morning.
Brian Singer - Goldman Sachs & Co. LLC: On costs, can you discuss progress towards your cost reduction targets and milestones that you and we should be looking for? And can you also discuss the service cost environment in the Bakken as you add the two rigs and one crew?
John P. Rielly - Hess Corp.: Sure. Brian I'll start on the cost reduction program, it is going along according to our plan. I mean you could see from the – as a milestone we did have the severance charge in the first quarter. As I mentioned the – from a head count standpoint there's approximately 400 employees and contractors affected by the reduction in force. Now not all, it's a little bit above 65% of those employees have left the company in the first quarter. And so there will continue to be reductions in force as we move through the year. As far as other aspects of our plan I mean we're starting here in the first quarter and what I would tell you with our plan we expect to have everything done by the fourth quarter. And then in the fourth quarter combined with the Enchilada field, the Conger coming back online and our increase in the Bakken you should begin to see the effects of our $150 million cost reduction program as well as the investments in our higher return assets driving our costs lower.
John B. Hess - Hess Corp.: And Brian in terms of the cost trends in the Bakken, you know cost trends are expected to increase anywhere from 5% to 15% versus last year depending on which commodity line you're talking about. But we've taken steps to contain those costs by locking in rig rates, putting in place longer term contracts, and forming strategic partnerships with our key suppliers. So, the steps we've taken coupled with our lean manufacturing approach, we're pretty confident that we can deliver our 2018 program with minimal inflation.
Brian Singer - Goldman Sachs & Co. LLC: Great. Thank you. And then my follow-up is that you mentioned that I think you bought back the portion of the hedges collars that now give you exposure to the oil price upside about $65, I may have missed if you mentioned if there was a cost, cost to do that or an effective dollar barrel to do that. But now that there is more exposure to the upside to the degree that oil prices do stay here or move higher. Can you talk about how that impacts capital allocation either in terms of using that cash for incremental share repurchase or debt pay down or for reinvesting in the business?
John B. Hess - Hess Corp.: Yeah, right now, obviously, we're keeping the downside protection. But we felt it is prudent in the current oil environment to buy those collars back. John can talk further on the cost of that. So, we will benefit and our shareholders will benefit in the higher oil price environment that we're in. And again, our priority number one, two and three is to fund Guyana and future capital requirements not just for FPSO-1 but FPSO-2 and also the engineering for FPSO-3, continue the exploration and appraisal program and in that – and move up to six rigs in the Bakken, in that it's really important and we've talked about this before to keep a strong balance sheet and cash position. So you know, incremental cash right now will just be keeping that balance sheet strong for the funding requirements that we see going forward. In terms of any further share repurchases to be contemplated, one let's finish the $1.5 billion program we have which we will do this year, and two, as we look into next year, we'll see where our capital requirements are specifically on Guyana and we'll see where the oil prices and at that time we can give consideration to further return of capital to shareholders. John, you might want to talk about the other.
John P. Rielly - Hess Corp.: Sure, on cost of the buying out the call options, it was approximately $50 million. Now in my guidance that I gave that is reflected in the amortization of the premiums on our hedge contract. So as I mentioned, so for the next three quarters of 2018, the results will be reduced by $45 million a quarter due to the buyout of those call options.
Brian Singer - Goldman Sachs & Co. LLC: Thank you.
Operator: Thank you. And our next question comes from Paul Cheng of Barclays. Your line is now open.
Paul Cheng - Barclays Capital, Inc.: Hey, guys, good morning.
John B. Hess - Hess Corp.: Good morning.
Paul Cheng - Barclays Capital, Inc.: I just have a quick question. And on the Bakken, Greg, have you seen any cost inflation really start to picking up? I mean, Permian we heard that they have difficulty getting enough staff or equipment that when they start to see some other area they're moving the equipment and people there. So how's that looking in the course and the availability of the equipment?
Gregory P. Hill - Hess Corp.: Yeah.
Paul Cheng - Barclays Capital, Inc.: And also when you're talking about Bakken can you also talk about you're saying that you're going to reach a 175,000 barrel per day by 2021, is that the better way (39:51) or that's subject to say other factor that you may change what is the better way (39:59)?
Gregory P. Hill - Hess Corp.: Well, first of all, on the cost trends, Paul, thanks for the question. As I responded to the last person, you know, we do expect the cost trends they increased by some 5% to 15%, very different than the Permian simply because if you look at the rate of growth of rigs in the Bakken it's much smaller than it is in the Permian. So, it's kind of onesie, twosie I say, people growing by one or two rigs. So, the rate of increase is not substantial. Now, we've taken a lot of steps to contain those costs by locking in some rig rates, putting in place longer term contracts, forming strategic partners with our key suppliers. And we're pretty confident that the steps we've taken and our lean manufacturing approach is going to enable us to deliver our 2018 program with minimal inflation. There'll be some but it'll be minimal, we think we can cover most of that. So very different than the Permian. Regarding the 175,000 barrels of oil a day in 2021 that's the only assumption in there is that we maintain six rigs for the next couple of years to get us to the 175,000 barrels of oil a day.
Paul Cheng - Barclays Capital, Inc.: But, should we look at it from a resource standpoint and holistically that that will be the sweet spot you're going to get to 175,000 barrels of oil a day and you're just going to staying at that level for a number of years or that may change also? So trying to understand what you guys have in mind and targeting?
Gregory P. Hill - Hess Corp.: Yeah, I think at this point the 175,000 barrels of oil a day is appears to be the sweet spot. Then we can maintain that for several years in the Bakken and of course, that's a combination of infrastructure build out and whatnot. And that's why the 175,000 barrels of oil a day appears to be a sweet spot. The only caveat I will put on that is we are conducting this comprehensive Bakken study this year and so depending on the outcomes of that study that could dictate how long you hold that peak, how fast you get there are some other factors. So that's the only caveat I'd put on that.
Paul Cheng - Barclays Capital, Inc.: And let's go back into the cause. Have you seen people and the equipment being moved out from Bakken into Permian?
Gregory P. Hill - Hess Corp.: Not. Certainly, it hasn't affected us at all and that's all that I'm concerned about, is that it doesn't affect us.
Paul Cheng - Barclays Capital, Inc.: Okay. And for John Rielly that the second question on the unit DD&A why from the first quarter to the second quarter you were jumped that much?
John P. Rielly - Hess Corp.: So from the guidance that we gave you remember Paul, since we're giving the guidance ex-Libya on there. So, if you're looking at actual costs that we had in the first quarter going into our second quarter guidance, so without Libya, right, our production is going to be lower, our cash costs are going to be lower and our DD&A. I'm sorry our cash costs will be higher and our DD&A will be higher and then our tax rate will be lower. So, there's really no change if you want to say quarter-on-quarter for the DD&A. It's just from a guidance purposes, we don't have Libya in there.
Paul Cheng - Barclays Capital, Inc.: Okay. So that if I – so maybe then, let me ask then in the first quarter if you are excluding Libya, what was the cash cost and unit DD&A?
John P. Rielly - Hess Corp.: So that you could add about – yes, you can add about a $1.50 to the DD&A rate and you can add about $1 to the cash cost.
Paul Cheng - Barclays Capital, Inc.: I see. So that's why you're saying that sequentially, as we need not such a big difference in anywhere.
John P. Rielly - Hess Corp.: Correct, correct.
Paul Cheng - Barclays Capital, Inc.: Okay. Very good. Thank you.
John P. Rielly - Hess Corp.: Sure.
Operator: Thank you. Our next question comes from Roger Read of Wells Fargo. Your line is now open.
Roger D. Read - Wells Fargo Securities LLC: Yeah. Thank you. Good morning.
Jay R. Wilson - Hess Corp.: Good morning.
Roger D. Read - Wells Fargo Securities LLC: Just to kick a little harder on the Bakken on the kind of service costs, and just what's going on there in terms of productivity. Are you seeing pressure on the pricing side, I know the question was asked about kind of labor and so forth. But any general pressure on any part of the service sector there for you?
John P. Rielly - Hess Corp.: Yeah. I think you know as I said before that, here the cost trends are expected to increase 5% to 15% depending on the commodity line. You're talking about on the upper end would be the pumping services, on the lower end it would be the sand and kind of other commodities. So – but again with the steps we've taken by locking in the rig rates, putting in place longer term contracts, forming the strategic partnership with our key suppliers and lean manufacturing. We think that, we can execute our 2018 program with relatively minimal inflation.
Roger D. Read - Wells Fargo Securities LLC: Okay. And then switching gears a little bit, your – the Gulf of Mexico has come back a little quicker than expected. I know you still are predicting the last part of it or budgeting the last part of it for late September. But is there a rational way to approach that, a reasonable way to approach that, that it could come on a little bit quicker just sort of gone by what the operators been saying?
John P. Rielly - Hess Corp.: Yeah. So, I think as we said the instantaneous rate that was off at the end of year was 30,000 barrels a day after that came on in the first quarter, in March the other half we're projecting to be on by the start of the fourth quarter. The operator is still forecasting kind of June, July sort of a timeframe, so yes, there could be a little bit of upside, but obviously that depends on weather and all kinds of factor. So, we've got a little bit more conservatism built-in given it's a brownfield project, and we'll just see kind of where we end up.
Roger D. Read - Wells Fargo Securities LLC: Okay. Thanks. And then just the last question on the Sorubim well, if I remember correctly, it's sort of a different structure than what we saw with Payara, so the fact that it's taking a little longer to drill that, I would assume make sense or was within the budgeted expectations?
John P. Rielly - Hess Corp.: Yeah, it's definitely within the budgeted expectations, and yes, it is a different play type, it's onlapping sediments on to a carbonate shelf margin, so.
John B. Hess - Hess Corp.: And, I can add just from a cost standpoint, because that is some of the benefits of drilling exploration wells in Guyana, just that typical exploration well there is our gross well cost is around $50 million, so net to us is about $15 million. So that's kind of a typical exploration well there.
Roger D. Read - Wells Fargo Securities LLC: Great. Thank you.
Operator: Thank you. Our next question comes from Guy Baber of Simmons & Company. Your line is now open.
Guy Baber - Simmons Piper Jaffray & Co.: Thanks for taking the question, everyone.
John B. Hess - Hess Corp.: Thank you.
Guy Baber - Simmons Piper Jaffray & Co.: So, the Bakken production during the quarter, obviously, seemed especially strong in light of you guys only bringing on 13 wells, and some of the plug-and-perf wells likely contributed, but can you talk a little bit more about the outperformance and how well productivity is shaping up relative to what is assumed in the full-year production guidance of 115,000 to 120,000 barrels of oil equivalent per day. It just appears that that guidance might be a little conservative due to what you guys delivered at 1Q and the schedule and the number of wells you're planning to bring on the rest of the year?
Gregory P. Hill - Hess Corp.: Yeah. Thanks for the question. A couple of comments. First of all that, the first quarter was strong and that was mainly driven by drilling wells in Keene, which is really our best area of the field. So that mix changes as you go throughout the year, but Keene performed particularly well during the first quarter and in our Investor pack, we show the IP180s in Keene and Stony Creek and East Nesson and Capa. And we've said, those IPs are north of 100,000 barrels, IP180s north of 100,000 barrels. Keene is coming exceptionally strong. So, if you weight average that and assume that Keene is going to continue to perform, our IP180s for the year will actually be some 15% to 20% higher than what's in our current investor pack. And that's a step-up from last year as we said of 10% to 15%. So yes, there's upside, driven mainly by Keene. If you look at East Nesson South, Stony Creek and Capa, they're coming in at about where we expected, but Keene has really outperformed. So very strong performance from Keene. As I said, the plug-and-perf wells, we just don't have enough to be statistically significant. There's only seven online, none of which have gone beyond IP90. So, it's just early days on that. But, it is encouraging. So, there is a little bit of additional volume associated with those plug-and-perf wells.
Guy Baber - Simmons Piper Jaffray & Co.: That's helpful. Thank you. And then you all have been clear that the top priority for capital is prefunding Guyana. I was just hoping you could shed a little bit more light on the longer term plans there? And specifically, how you see the balance of cash inflow versus CapEx shaping up over time, especially with three phases happening and the discovered resource to do much more than that. But you all have highlighted rapid cash pay back there, cost recovery will help I'm sure. But can you just talk through maybe in a little bit more detail or give us a framework as to what point Guyana actually becomes self-funding or begins to generate excess cash flow on kind of base case expectations or plans?
John B. Hess - Hess Corp.: Sure. So, the way as we mentioned in the scripts earlier, Phase 1 Exxon is planning to bring on by 2020. When that production comes on, we're beginning to pick up significant cash flow, but Guyana itself is going to be still maybe more in a breakeven to maybe a slight deficit as we go forward with Phase 2 and Phase 3 capital. Then what happens when Phase 2 comes on and remember that's a bigger FPSO 220,000 barrels per day, when that comes on and let's just say it's two years for now somewhere mid-ish 2022, just for an assumption standpoint. Guyana begins to throw off significant free cash flow at that point in time. So, our production with our 30% share in there gets over 100,000 barrels a day once that ship comes on in Guyana, then basically that supports all future capital in Guyana once the Phase 2 production comes on.
Guy Baber - Simmons Piper Jaffray & Co.: Great, that makes sense. And then I had one more follow-up on the 1Q cash flow number, but the pre-working capital cash flow number looked very strong, but obviously there were some meaningful working capital headwinds that you all called out. You had a large working capital drag last year, but with the divestment of some of your cash consuming assets, we'd expected that issue to maybe go away this year. So, can you talk a little bit more about the extent to which some of these issues that affected 1Q bottom line cash flow may or may not persist going forward?
John B. Hess - Hess Corp.: Sure. So, what we have in the first quarter, let me just first talk about kind of, if you want to call it normal, but still non-recurring type pulls on working capital in the first quarter. So, as we said, there was a reduction in accounts payable and accrued liabilities. What happens in the first quarter, typically most companies, we're paying our bonuses in the first quarter. So, you're accruing through the year and then you're paying that bonus. So, you have that always in the first quarter. And then in our first and third quarters is where we pay basically semi-annually then the interest payments on our public bonds. So typically, you'll see a type of working capital pull for interest payments in our first and third quarter. Then the other one now, this is not recurring, I mentioned earlier was, we bought our call options on the WTI, so that was approximately $50 million. That will not recur. And then the only other thing I need to remind everyone on is, is we are still going through kind of the remnants of our portfolio reshaping, and we are going through a cost reduction program. So for example, we have that severance, we will be then paying severance off in the remainder of the year. So, you're going to see still some remnants of that portfolio reshaping and that's why I like to say, as I mentioned earlier, by the fourth quarter, we'll have gotten through our cost reduction program and all that benefits will begin to be shown through as you see in the fourth quarter and then into 2019. So again, nothing unusual except for really the buyout of the WTI call options and then further transition costs you may see through the year.
Guy Baber - Simmons Piper Jaffray & Co.: Thank you very much.
Operator: Thank you. Our next question comes from Michael Hall of Heikkinen Energy Advisors. Your line is now open.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Thanks. I guess I just wanted to follow-up on a couple of things. First, in the Williston, I think there's some tighter flaring regulations coming in in the back half of the year. How are you guys set up to handle that? And then second, in the second quarter on that 115,000 BOE a day what's the expected wells put to sales to support that?
John B. Hess - Hess Corp.: Okay. So, on the first question, we don't have any issue with the flaring regulations coming up, we're set up well for that, why? Because we have 250 million cubic feet capacity at Tioga Gas Plant that can be expanded to 300 million cubic feet for very little capital, we won't need that this year but that's certainly an option out in the future. Q1 processing volumes are 214 million cubic feet, so you can see that we've got, we've got room to go there. And then secondly, thinking ahead we're adding a 100 million cubic feet of net capacity south of the river at the Targa JV that are Midstream announced. So because of those reasons we'll be set up – we'll be set up well for handling any flaring constraints. And your second question...
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Yeah.
John B. Hess - Hess Corp.: ...was related to wells, is that correct?
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Yeah, just how many wells do you expect to have turned to sales in the second quarter?
John B. Hess - Hess Corp.: Yes, our current forecast is to have 23 wells online in the second quarter versus 13 wells in the first quarter.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Okay. And then, I guess the other follow-up is on, just uses of capital in this more elevated commodity environment. What would you say a targeted debt level would be on a dollar basis as you look towards 2019, 2020 just kind of on a longer-term basis as you enter the full Guyana development phase?
John P. Rielly - Hess Corp.: Our plan is that, we can fund, so we set up through our asset sale program that we pre-funded Guyana. So, we do not intend to go to the debt markets for any additional requirements for Guyana or for anything else that we have. So, we're set up from a pre-funded standpoint. So, you could expect our debt level to stay where it is after we finish our debt reduction initiative.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Yeah. I guess, I was thinking the other side, are there any further debt reduction targets that you think through on a longer database (56:13)?
John P. Rielly - Hess Corp.: This is – John Hess mentioned earlier. So, what we'll do is, as we finish out this debt reduction plan, the $500 million and our stock buyback of $1.5 billion, as we'll finish that out. Again, our priorities are to make sure that we have Guyana pre-funded, because that's truly transformational. And then maintain a strong balance sheet. So, we want to be investment grade, maintain that investment grade, balance sheet, and then excess cash beyond that, we will be considering for stock buybacks or debt buybacks at that time.
Michael Anthony Hall - Heikkinen Energy Advisors LLC: Okay. Understood. Thanks.
Operator: Thank you. Our next question comes from Pavel Molchanov of Raymond James. Your line is now open.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Thanks for taking the question, guys. You've been asked about costs in the U.S., I would kind of expand that to what you're seeing in the offshore arena. So, as you're contracting for new rigs or development equipment in Indiana, how are those costs tracking relative to your original expectations from when Liza project was originally sanctioned a year ago?
Gregory P. Hill - Hess Corp.: Yeah. Great. Thanks for the question, Pavel. The Deepwater offshore market continues to be oversupplied given the extended period of low activity that John talked about in his opening remarks. And as a result, we expect to see minimal if any cost inflation. In terms of Guyana Phase 2 versus Phase 1, costs are coming in lower, actually lower than for Phase 1 for most of the commodity line. So again, you're seeing that continue to oversupply reflect itself in Guyana Phase 2 as well.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Okay, that's helpful. And then a quick one about the dividends. So, it's been about five years since you've taking that down to $0.25 a quarter. Is that, at all, on the agenda as far as an increase goes alongside the buyback that you're implementing?
Gregory P. Hill - Hess Corp.: On the dividend itself, that we want to see us being cash flow generative with our current capital requirements and our current dividend on a recurring basis for us to consider going up on that. We're not quite there yet. Obviously 2020, we start seeing our company being cash flow generative in a $50 world on a recurring basis. So, at that time, we can consider what's the best way to enhance return of capital to shareholders. And obviously, I talked earlier about how we're thinking about next year in terms of capital through share repurchases based upon funding Guyana, and keeping a strong balance sheet and cash position for future Phase of Guyana. And obviously, the oil price environment. So that sort of how we think about return of capital.
Pavel S. Molchanov - Raymond James & Associates, Inc.: All right. Appreciate it, guys.
Operator: Thank you. Our next question comes from Michael McAllister of MUFG Securities. Your line is now open.
Michael McAllister - MUFG Securities America, Inc.: Thank you for taking my call. My question is about the Bakken, the scenario you're kind of presenting it's looking like a 50% increase in rigs could lead to a 30% increase in wells tilled for 2019?
Gregory P. Hill - Hess Corp.: So again, yeah we are taking the rig count up. We'll add a fifth rig in third quarter and a sixth rig in fourth quarter. So that's true our actual wells online will go up in 2019 relative to 2018.
Michael McAllister - MUFG Securities America, Inc.: And can I take that further to say that production would be or could be 20% to 25% higher?
Gregory P. Hill - Hess Corp.: Well, I think you know again, thinking about where we are on the road to 175,000 BOE in 2021, you're right the rate of increase will go up in 2019 as a result of that higher number of wells online.
Michael McAllister - MUFG Securities America, Inc.: Okay. Thank you for that. And then to 2019 any thoughts on hedging at these prices?
John P. Rielly - Hess Corp.: So, we will be you know we continue to look at our hedging program. We've made some changes as you know in 2018. As of right now, we don't have any hedges on in 2019. We're continuing to look at it. Obviously, the curve is a bit backward dated and when you're this far from 2019, it is expensive on that time value with the volatility. So, at this point, we haven't had anything, but we'll continue to look at that. And then, obviously, as we continue move up as Greg was saying with the Bakken increase in production, production increase in next year, we don't have as much of a cash deficit as you move into 2019 and we don't have a funding deficit at all because of the asset sales. So any hedging we probably do would not be at the same level we did in 2018, but we'll continue to look at putting hedges on in 2019.
Michael McAllister - MUFG Securities America, Inc.: All right. Thank you for that.
Operator: Thank you. Our next question comes from Arun Jayaram of JPMorgan. Your line is now open.
Arun Jayaram - JPMorgan Securities LLC: Yeah. Good morning. Greg, I was wondering if you could just maybe comment a little bit more on the study you're doing in the Bakken to determine the optimal development methodology and just give us a sense of what you're looking at and how could things potentially change?
Gregory P. Hill - Hess Corp.: Yeah. So I think, it's the right time to do the study in the Bakken because the Bakken is at an inflection point. We're adding rig count. We're changing, potentially changing methodology on completion type. And so, it's a good time just to step back and say, okay given that plug-and-perf looks like it's coming into the mix, how do we think about our development methodologies for various parts of the field. What's that mean for the core? What's that mean for outside the core? What's that mean for well spacing? Does that change our thinking on well spacing? All of these factors are going to go into this study to really define in the back-half of the year what is our revised development methodology going forward in the Bakken. So it's really a good time to do it, because we have more DSUs in the core than anyone else, we're stepping up the rig count, so it's time to just step back and really think thoughtfully where – how we want to take this asset forward.
Arun Jayaram - JPMorgan Securities LLC: And results will be later this year or something like that?
Gregory P. Hill - Hess Corp.: Yeah, it will be, I think we've talked about in Investor Day, fourth quarter of the year, we'd obviously share our result for that in the Investor Day.
Arun Jayaram - JPMorgan Securities LLC: Great. And just my follow-up, it sounds like results in 1Q in the Bakken outperformed, just given a better than results at Keene. Could you talk a little bit about the mix of the Keene versus outside of Keene for your 2018 completions? And would you think that your overall Bakken guidance is conservative just given the performance at Keene?
Gregory P. Hill - Hess Corp.: Well, again it's early in the air and Keene did outperform. And if you look at our programs of the 95 wells that we've guided to be online this year, 40 of those wells are in Keene, 25 of those are in Stony Creek, 20 are in East Nesson South and 10 are in Capa. And if you look at our investor presentation we actually showed the EURs in the IP180s for each of those areas. As I said Stony Creek, East Nesson South and Capa are coming in at about what we expected. But Keene is one that's really so far outperforming this year.
Arun Jayaram - JPMorgan Securities LLC: Great. Thanks a lot.
Operator: Thank you. Our next question comes from John Herrlin of Société Générale. Your line is now open.
John P. Herrlin - Société Générale: Yeah. Thank you. Following-up on what you were saying on the Bakken, Greg. Does this mean you're trying to better figure out your spacing densities, or should we assume that given the results of your study down the line that may go to longer wells in terms of the completions?
Gregory P. Hill - Hess Corp.: Yeah. I think, John, thanks for the question. I think all of that is part of what the study will look at. As you know, we've been developing the Bakken on very tight spacing and so fracture geometry control is really, really important given that you're on tight spacing with limited entry plug-and-perf now, the methodology is such that you can get tighter fracture geometry control, but also a lot more entry points in the wellbore. So, if that's true that could affect your well spacing assumption, but way too early to predict what the outcome is going to be. That's one of the elements of the study that we'll be looking at. And it could vary depending on where you are on the field because obviously in the core you've got a lot more natural fracturing that's helping you out to get outside the core you don't have as much so all these things will be part of the study that we're looking at in the Bakken with the ultimate objective to maximize DSU and overall NPV for the Bakken asset.
John P. Herrlin - Société Générale: Great. And one, the follow-up on Guyana. I was able to see Chorus (66:24) the other day with Exxon and it looked to me like the reservoirs weren't super well cemented, and look like calcite cements, were you at all surprised by that?
Gregory P. Hill - Hess Corp.: Not really. No. I – and it – again it's – these wells are going to produce like gangbusters as you know just based on your look at the core. So, we weren't surprised by it and we're not particularly concerned about it.
John P. Herrlin - Société Générale: No, I did think it was a concern I just...
Gregory P. Hill - Hess Corp.: Yeah.
John P. Herrlin - Société Générale: ... that looked like great rock. That's all.
Gregory P. Hill - Hess Corp.: Great rock. Yeah. Thanks
Operator: Thank you. Our next question comes from Phillip Jungwirth of BMO. Your line is now open.
Phillip J. Jungwirth - BMO Capital Markets (United States): Yeah. Thanks. Good morning. I think the Penn State well in the Gulf of Mexico is expected to be brought online in March and was just curious if there is any update here on timing, and also the rate of that well?
Gregory P. Hill - Hess Corp.: Yeah. So, the well did come on in March as planned and we're currently in ramp up operations on that well, just like Stampede wells, we're bringing these wells on slowly in the Miocene, adjusting the chokes slowly. That well is expected to be in the range of 5,000 barrels to 10,000 barrels a day once it gets to full choke.
Phillip J. Jungwirth - BMO Capital Markets (United States): Okay, great. And then on the Bakken, you've talked about this asset as meaning to be a free cash generator to the corporation. Just looking at 2018 and maybe 2019, do you have a sense for what the free cash flow profiles of this asset would be at current oil prices, and how that can influence the decision to move beyond six rigs planned for year-end?
Gregory P. Hill - Hess Corp.: Sure. So again, at this point we are just planning on the fifth rigs and sixth rigs being added in the second half of the year with where prices are even with prices lower the Bakken was going to be generating a little free cash flow in 2018 and that's again because when you bring on the fifth and sixth rigs you're really not getting any production from those rigs yet that goes into 2019. Then as we increase production, it was 1920, then getting up to the 175,000 barrels a day and obviously holding six rigs, the Bakken will generate significant cash flow. A lot in 2019 and even more in 2020 and 2021 and that that's says, we've always said in the near-term that's what's driving us to be able to be free cash flow positive at $50 Brent post 2020 and then it's when Guyana and really that Phase 2 comes in that really continues to drive up our free cash flow. So, at this point in time we – there's no plans to go above the six rigs or a 175,000 barrel at a target is on that six rigs. But as Greg said, we are looking, we're doing a study and we'll let you know, if we make any changes but at this point in time there is no change to our six rigs.
Phillip J. Jungwirth - BMO Capital Markets (United States): Okay. Great. Thanks.
Operator: Thank you very much. This concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.